Operator: Good morning, and welcome to Sysco's First (sic) [Second] Quarter Fiscal 2018 Conference Call. As a reminder, today's call is being recorded. [Operator Instructions] I would like to turn the call over to Neil Russell, Vice President of Investor Relations and Communications. Please go ahead.
Neil A. Russell - Sysco Corp.: Thanks, Megan, and good morning, everyone. Welcome to Sysco's Second Quarter Fiscal 2018 Earnings Call. Joining me in Houston today are Tom Bené, our President and Chief Executive Officer; and Joel Grade, our Chief Financial Officer. Before we begin, please note that statements made during this presentation that state the company's or management's intentions, beliefs, expectations or predictions of the future are forward-looking statements within the meaning of the Private Securities Litigation Reform Act, and actual results could differ in a material manner. Additional information about factors that could cause results to differ from those in the forward-looking statements is contained in the company's SEC filings. This includes, but is not limited to risk factors contained in our Annual Report on Form 10-K for the year ended July 1, 2017; subsequent SEC filings; and in the news release issued earlier this morning. A copy of these materials can be found in the Investors section at sysco.com or via Sysco's IR app. Non-GAAP financial measures are included in our comments today and in our presentation slides. The reconciliation of these non-GAAP measures to the corresponding GAAP measures are included at the end of the presentation slides and can also be found in the Investors section of our website. To ensure that we have sufficient time to answer all questions, we'd like to ask each participant to limit their time today to one question and one follow-up. At this time, I'd like to turn the call over to our President and Chief Executive Officer, Tom Bené.
Thomas L. Bené - Sysco Corp.: Thank you, Neil, and good morning, everyone. Our second quarter results represent continued momentum in the business, most notably in the top line fundamentals, driven primarily by solid case growth. The quarterly results also include some circumstances that created gross profit and expense challenges as well as some tax-related impacts that Joel will describe in a few minutes. Nonetheless, our strategy of delivering disciplined profitable growth remains our focus, and we are confident in our ability to deliver on our full year fiscal 2018 financial targets. Our results for the second quarter include: sales increase of 7.1% to $14.4 billion, driven by U.S. Broadline local case growth of nearly 5%; gross profit growth of 5%; and adjusted operating expense growth of 5.3%, which delivered an adjusted operating income increase of 3.9% to $579 million; and an adjusted EPS increase of 34% to $0.78. Further adjusting to remove the beneficial change in our statutory tax rate, adjusted earnings per share grew 13.8% to $0.66. Joel will take you through the details in a few minutes. We achieved these results in a favorable macroeconomic environment propelled by steady spending from businesses and households in the United States. Market conditions in the U.S. for foodservice operators remained somewhat favorable as sales at restaurants continue to rise, offsetting somewhat lower traffic counts. Economic growth in the international markets in which we operate is mostly positive, including modest growth in the foodservice sector. However, significant food cost inflation in our UK business, driven by a combination of both product cost increasing, along with less favorable currency translation, impacted both our volume growth and gross margins. Transitioning to our quarterly results by business segment, beginning with U.S. Foodservice Operations. Sales grew 6.6% for the quarter, gross profit grew 5.1%, operating expenses grew 5.9% and operating income grew 3.6%. For the quarter, local case growth in our U.S. Broadline business was very strong at 4.8% and has now grown for 15 consecutive quarters. Local case growth, excluding acquisitions, was also strong at 4%. Cases grew by nearly 2% with national customers, driving overall case growth to a healthy 3.5%. The national customer case growth is the result of recently added new customers and we will continue to look for opportunities to grow in this segment in a disciplined and profitable manner. While we are pleased with the gross profit growth we delivered this quarter, we continue to face challenges from escalating inbound freight costs, which have provided headwinds to our gross profit dollar growth. The industry is facing driver availability challenges, which is leading to increased lane rates for many carriers. As a result, our cost to move products has increased, and we've had to utilize more spot loads to transport goods. We are actively working to mitigate these risks and continue to ensure that Sysco remains a preferred customer with various carriers we work with. From a product perspective, Sysco Brand continues to grow with local customers, making up almost 46% of cases purchased, which is up 37 basis points for the quarter versus the prior year. The consistent success we've seen is driven by a few factors, including the breadth of products that are offered across multiple categories and tiers, along with continued progress from our brand revitalization work and new innovation concepts. Some examples of this work include products that offer our customers unique value through labor savings as well as on-trend products that fulfill specific customer needs. Our e-commerce ordering utilization continues to grow, and early indicators tell us Sysco customers who shop via digital platforms have higher penetration numbers versus customers who do not. We are pleased to see increased utilization. However, we continue to believe that providing choice to our customers in how they want to interact with us is the right strategy to ensure the best possible customer experience. Turning our attention to cost in our U.S. Foodservice Operations. Our operating expense growth for the quarter was roughly 6%, driven by volume-based supply chain costs, startup costs related to some new national account business recently signed, continued investment in our selling organization and increased fuel prices. In supply chain, some of these costs are offset by improvements in productivity that are result of reengineering the delivery process to be more efficient while also providing higher service levels. In the selling organization, we are once again adding marketing associates in an effort to accelerate our local sales and are doing so through a targeted insights-based approach where we have the greatest opportunities for growth. We continue to believe that our consultative approach to selling is the key driver for local case growth, and we believe these efforts will continue to enrich our customers' experience of doing business with Sysco. Moving on to International Foodservice Operations. We had mixed results for the quarter with sales growing 9.3%, gross profit growing 4.1%, adjusted operating expenses growing 11.9%, and adjusted operating income declining 28.8%, driven by the reporting change from a calendar year to a fiscal year, investments in our supply chain transformation, and new change initiatives targeted to grow local customers all within our European business. Additionally, we had transition costs associated with the acquisition of a large customer in Mexico. Our business in Canada had a strong quarter, with gross profit dollar growth of more than 4% and an operating leverage gap of nearly 2 points. This led to strong operating income growth, driven by an improving macroeconomic environment, increased restaurant traffic and improved execution of our customer-centric strategy. Our business results across Europe were mixed. Looking at overall product costs, the UK continued to experience acute inflation of about 6% during the second quarter, driven by a combination of Eurozone sourcing and the relative impact of the pound sterling versus the euro. Also in the UK, we continue to invest in the supply chain transformation to multi-temperature facilities and fleet as well as new initiatives such as technology solutions that are being implemented to enrich the customer experience, which will ultimately lead to improved loyalty and local case growth. Outside of the UK business, France and Ireland are performing well. France is driving solid top-line growth while recently completing key IT milestones that will help us to integrate the Davigel and Brake France businesses. This is another important step to build on our position as a leading European foodservice provider. In Ireland, we are ahead of expectations in cost synergies from the merging of Brakes Ireland and Pallas Foods. And finally, in Sweden, we recently acquired a small produce company that has broadened the range of fresh fruit and vegetable products offered to our customers and we are seeing positive trends as a result. As for our business in Latin America, we continue to be excited about the growth opportunities in this region. In Costa Rica, we continue to see solid growth and have continued our expansion of Cash & Carry locations to complement our Broadline footprint. In Mexico, we're absorbing the costs of adding a new customer and are due to annualize that addition next quarter. We remain confident in the performance of Mexico and expect continued growth in the future. Our SYGMA segment continues to grow and performed well this quarter, producing high single-digit growth in sales and gross profit while expanding gross margins by 6 basis points. Operating income grew approximately 6%, and we are focused on continuing to improve operational performance that will contribute to long-term operating income growth. And lastly, our Guest Supply entity continues to be a great business model, serving our hotel customers with various products and services, which help them to be successful. Although their overall results were slightly down for the quarter, we are confident in their ability to deliver growth in fiscal year 2018 and remain excited about the long-term potential for this business. In summary, we feel good about the fundamentals of our business and about the trajectory we're on for fiscal 2018 to close out our initial 3-year plan. Despite the inbound freight and unique expense challenges we experienced in the second quarter, we continue to make progress on our customer and operational strategies to improve our customers' experience. One example of this is Sysco's redesigned website sysco.com, which we'll be launching this week. This site will be enhanced to further enrich our customers' overall experience of partnering with Sysco and to provide all those looking to engage with Sysco, a clear understanding of the company's differentiated position within the foodservice industry. Showcasing Sysco's breadth of industry-leading innovative solutions, including products, services, and customer-facing technology, the updated site will reinforce Sysco's brand and recent positioning at the heart of food and service. With that, now I'll turn the call over to Joel Grade, our Chief Financial Officer.
Joel T. Grade - Sysco Corp.: Thank you, Tom. Good morning, everyone. As Tom mentioned earlier, we are pleased with the top-line fundamental results for the second quarter. Our earnings growth reflects strong sales and case growth, partially offset by challenges from inbound freight, increased investment in our sales force and national customer startup costs in our U.S. operations. In addition, our continued transformation investments and integration costs in Europe, as well as the reporting change from a calendar year to fiscal year impacted our performance for the quarter. This morning, I'll start with our quarterly results. For the quarter, sales grew 7.1%. gross profit grew 5% while adjusted operating expenses grew 5.3%, which resulted in adjusted operating income growth of 3.9% and adjusted earnings per share growth of 34.5% to $0.78 per share. As Tom mentioned, when further adjusting for the tax benefit, our adjusted earnings per share grew 13.8% to $0.66. This further adjustment assumes a consistent statutory tax rate to the previous year and provides a better apples-to-apples comparison of performance on an EPS basis. For the second quarter of fiscal 2018, we saw foreign exchange benefit to sales of approximately 1%. Sysco experienced inflation across all of our segments in the second quarter. In our U.S. Broadline business, we experienced 3.3% inflation, driven by a few categories including meat, dairy and produce. The pace of inflation increases in some of these categories was rapid, ultimately driving overall inflation. Within our international business, inflation was a combination of both product costs increasing along with currency translation in the UK. During the quarter, we had gross profit growth of 5%, driven by overall volume growth and improved Sysco Brand penetration. As Tom mentioned earlier, the increased inbound freight expense is a headwind for gross profit dollars as both the product cost and associated inbound freight both reside in our gross profit line. Adjusted operating expenses grew 5.3% for the quarter. The increase in expense is largely due to overall volume growth, new customer startup costs, increased investments in our sales force and increased fuel prices in our domestic business as well as investments in our transformation and integration costs in our international business. As a result, we did not leverage operating expense growth to gross profit dollar growth in the way that we would have liked to. However, we expect to improve this trend in the third quarter and for the remainder of the fiscal year. As it relates to taxes, our results for the second quarter were impacted by excess tax benefits from stock option exercises and additional tax credits. In addition, per the new tax reform legislation, we incurred a provisional estimated charge of $115 million for our onetime transition tax on unrepatriated foreign earnings. And we incurred a provisional estimated benefit of $15 million related to the remeasurement of our accrued income taxes and deferred tax assets and liabilities due to the change in our U.S. tax rate. Because we are halfway through our fiscal year, our U.S. statutory tax rate is prorated to 28%, retroactive to the beginning of our fiscal year. Our second quarter income tax expense include a tax benefit of approximately $64 million related to applying the lower rate to year-to-date earnings. Our U.S. statutory tax rate will change to 21% in fiscal year 2019. Cash flow from operations was $933 million for the first half of fiscal 2018. Net CapEx for the first half of the year was $255 million or about 1% of sales, which was roughly flat to last year. Free cash flow for the first half of fiscal 2018 was $679 million, which is $313 million higher compared to the same period last year. The significant improvement in free cash flow is largely driven by cash taxes that were not paid in the second quarter due to flood relief associated with Hurricane Harvey. We continue to expect strong cash flow for the full fiscal year 2018. Now I'd like to transition to three business updates: first, regarding second half expectations. We still expect to see a stronger second half of the year including the international segment, as we align the Brakes Group calendar year to our fiscal year. Second, regarding U.S. tax reform. We currently estimate $200 million to $300 million in annual savings from lower taxes as a result of the Tax Act. We will continue to evaluate our options with regard to how to best utilize these savings and will do so consistent with our capital allocation priorities. Finally, as a financial update, we expect our earnings per share for the second half of fiscal 2018 to be positively impacted by $0.09 to $0.13 as a result of tax reform changes related to the ongoing effective tax rate. In summary, I remain confident that we're on track to achieve our three-year plan financial objectives, including the high end of the $600 million to $650 million range of improved adjusted operating income comparing fiscal 2018 to fiscal 2015, excluding Brakes. The fundamentals of our business remained strong as we expect to deliver solid local case growth and good gross profit dollar growth along with improved cost management. Operator, we're now ready for Q&A.
Operator: Your first question comes from the line of Kelly Bania with BMO Capital Markets.
Kelly Ann Bania - BMO Capital Markets (United States): Hi. Good morning. Was hoping you could just help us kind of understand the components of the pressures on the margin, the inbound freight, the investments in the sales force and the startup costs. Can you quantify those? And just particularly on the inbound freight costs, how are you thinking about passing those along if those continue? And what is the mechanism to pass those on, on the local side and the multiunit side?
Thomas L. Bené - Sysco Corp.: Good morning, Kelly. Let me take a cut at that and then give Joel an opportunity as well. Let's start with the freight and the margin side. So inbound freight obviously does impact our gross margins. And as I think everyone's fairly aware, there's been significant increases, specifically in spot loads in the marketplace, driven by carrier challenges with drivers primarily. A lot of it started with some of the recent storm activity in the our first quarter or the third quarter in the U.S. and has continued and we continue to see that impacting our business. We're able to pass on some of that certainly to our contract customers, and we are doing everything we can to try to move that along as quickly as possible. But on our local customers, it's obviously a little more sensitive. We're having to deal with both product inflation and the cost of that inbound freight. And it's just a balancing act of how much of that you can move through at any point in time with those local customers. And so, we continue to work on that. We, I think, are doing as good a job as we can, leveraging in some of those tools we've built in our past and we've talked about regarding revenue management. But the fact remains that the rates that are increasing in some of those spot loads are dramatic, and we are struggling to be able to pass all that along. That's one of the primary drivers obviously of the margin impact. The other things that we can talk more about is some of that customer mix is impacting margin. And obviously, the impact of inflation, while we're able to pass along some of that on a percentage basis, it's affecting the gross profit percentage. And then on costs, you'd asked about cost, a couple of comments there. The investment to sales force, we are, in fact, adding additional marketing associates. We believe that we got into a point where you heard us talk about leveraging data and analytics to target those resources. We're at a place where we believe we now can add effectively. Even though we're getting some leverage with e-commerce, we feel like there's enough opportunities, and we know where those opportunities are that we're now adding marketing associates again. And we feel really good about that and really do believe that will help us continue to accelerate our local case growth. So those are a couple of the headlines. Joel, I don't know if there's anything you want to add to that?
Joel T. Grade - Sysco Corp.: Yeah, I think the only other thing I'd add is, we talked about some of the startup costs, again, we certainly have continued to talk about our disciplined approach to growing our business. And we did, as Tom mentioned earlier, take on some additional multiunit business and have incurred some startup costs associated with that. And so, I think the one thing I would take away from a lot of that stuff, certainly, some of the challenges in the inbound freight were certainly actively again (22:21) to do something with. And these other areas with some of the investments in the sales force as well as some of the startup costs for some of these multiunit customers certainly over time obviously, we expect some benefit out of that to come through.
Kelly Ann Bania - BMO Capital Markets (United States): Okay, that's helpful. And then just another one on the local case growth, obviously very strong, ahead of your target for the next couple of years I think the strongest growth on the local in several years over the past couple of years. But just curious if you feel like that was market share gains on the local side or you feel like that local customer in general is improving? I know it's hard to pinpoint, but what's your sense just from talking to your customers?
Thomas L. Bené - Sysco Corp.: I think, Kelly, it's a combination of all. I think we're certainly having success and gaining some share in certain markets. And I think as we've talked we feel pretty good about that local or independent customer, that restaurant operator, in particular their ability to continue to grow in the local marketplace. So I think it's a combination of both.
Kelly Ann Bania - BMO Capital Markets (United States): Okay. Thank you.
Operator: Your next question comes from the line of Vincent Sinisi with Morgan Stanley. Your line is open.
Vincent J. Sinisi - Morgan Stanley & Co. LLC: Hey great, good morning guys. Thanks very much for taking my questions. So just to go back, I know the big question on folks mind of course around is kind of the margins. And as you had mentioned in the past, in an inflationary environment, should we basically think of it as obviously the dollar's going up, the percentage going down. But I guess, more of my question is, as we're getting into the second half of the year when you're starting to go against compares that are less increases from last year, should we – I guess, maybe just any thoughts on how you see that in the back half of this year for folks would be helpful.
Thomas L. Bené - Sysco Corp.: So again – Vinnie, good morning.
Vincent J. Sinisi - Morgan Stanley & Co. LLC: Good morning.
Thomas L. Bené - Sysco Corp.: One, I think you got it right. Obviously, as with inflation, margin dollars are going to go up generally and the percentages are going to be pressured a bit. And we are seeing that. As an example, our gross profit per case has actually gone up in the second quarter. So we feel good about that. Remember though, this inbound freight thing is going to impact our gross profit line as well, so you got to continue to keep that in mind. That's beyond the inflation. And then I think as you think about it going forward, we're going to have some of those inbound freight challenges, we believe, will still be with us in the next couple of quarters. We're going to do everything we can to mitigate that and pass along where we can, but we know that's going to continue to be in there. And I think not knowing exactly how inflation is going to play out and as you guys know and as we talked about a lot, it's not – even though it's an average number we talk about, there are certain categories that are moving a lot more than others and produce is a great example of that, certainly impacted by some of the activity and the storm activity that's affected various parts of the U.S. So longwinded way of saying I think modeling going forward, you should probably expect some continued pressure on the gross margin percentage. But we should be continuing to be able to grow our gross profit dollars at the rates we've talked about, and our – for case gross profit, we anticipate to also be favorable.
Joel T. Grade - Sysco Corp.: Yes. And I would just add, I mean, I think when you look at some of the other components, I mean, our Sysco Brand percentage continues to perform well. We continue to have benefit from category management. So I mean, there are some puts and takes on this. Certainly, we're calling out some of the headwinds, some of the challenges, but we certainly have some good things happening as well. And so, I think in general, we actually feel good about that moving forward. And certainly, on the margin piece, again when you factor out the impact of the freight and some of the inflation impact, again, I think overall, our margins are actually in a decent place as well.
Vincent J. Sinisi - Morgan Stanley & Co. LLC: Okay, all right. That's helpful. And then maybe just a quick follow-up. Just if you can give a little bit of an update just on the UK business? Obviously, we know that you've got inflation and some currency effects going on there. But just maybe more on kind of the fundamental investments that you guys have been making. I know you said kind of we're making these now for the longer term. But if you could give us an update maybe how kind of far in you are? Is that something that we should expect to kind of wind down over the next couple of quarters? How should we think about that?
Thomas L. Bené - Sysco Corp.: So good question. And so the UK is probably, of all those markets, the most unique. Everything from the Brexit impacts that are still obviously not all that clear and yet would be – ultimately the outcome of that's going to be in the marketplace. Because we source a lot of products for the UK out of other parts of Europe, that impact – the Brexit – Brexit basically, but on the pound sterling versus the euro, it's certainly having an impact on our costs. Therefore, the inflation we're having to try to pass along in the marketplace is quite high. And so, we've struggled to be able in all cases move that completely through and remain competitive. So we talked about the impacts both on our gross profit, but also on our volume in that market. And some of that's driven by the competitiveness, and some of that's driven by the consumer not being as confident in that market as maybe they are certainly here in the U.S. And so, I think we're going to continue to see some of that on the margin line. Regarding costs, when we acquired that business, they were on their journey of this multi-temp transformation. We are accelerating some of that across the UK and looking to get that in place. And so we still have certainly, I'd say another year or so of investments there that we have to make to get that up and running. And we feel good about it. We think it's the right thing for the long-term and it will certainly put us in a very solid position in the UK. But that investment's going to continue for a little while here.
Joel T. Grade - Sysco Corp.: Yeah. And I think just a couple of things on that also. Just in addition to the multi-temp transformation, there are some things that we're doing even from, in terms of the way we go to market there that we're making some investments as well. And so again some of that's going to be ongoing. The one thing I'll remind you though, and that we've been calling this out over the last couple of quarters, just to remind you. I mean there was a calendarization impact that you saw this quarter, and again we've certainly been foreshadowing here because as we switched the Brakes Group from a calendar year to a fiscal year, again, all those things were true about some of the investments in here. But again, just a reminder, some of the – I'd say somewhat acute performance that you saw this quarter certainly also, in large part, is related to some of the transformation in the year or the calendar, excuse me, transforming from a calendar year to our fiscal year, and some of that impacts is going to – you'll see some of that picked up in the second half of the year.
Vincent J. Sinisi - Morgan Stanley & Co. LLC: Yeah. Okay. That's helpful color. Thanks very much, guys. Good luck.
Thomas L. Bené - Sysco Corp.: Thanks.
Joel T. Grade - Sysco Corp.: Thanks.
Operator: Your next question comes from the line of John Heinbockel with Guggenheim Securities. Your line is open.
John Heinbockel - Guggenheim Securities LLC: So a couple of things. Let me start with, is inflation continuing to run here in this quarter kind of in that 3% range? And with respect to, have you seen any change in pricing, right? Because you look at the pickup in local case growth, I assume that had very little to do with any change in pricing on your end, so the price environment remains rational, is that fair?
Thomas L. Bené - Sysco Corp.: Hey, John. Yes, a couple. So inflation, yes, we expect it to continue kind of the same pace that it has been. And from a pricing standpoint, no, we didn't see really any major changes or impacts. And certainly, we aren't investing in price at this point. So don't believe that's an issue or will be one going forward other than the normal competitive environment we operate in.
John Heinbockel - Guggenheim Securities LLC: And if I look in the U.S. business, the margin pressure this quarter, do you think was that evenly split between inbound freight and impact of inflation, right? So inbound freight may be in that 10 basis point to 15 basis point range or is that not right?
Thomas L. Bené - Sysco Corp.: I don't know, we want to get that specific. Let me just remind you and everyone. We feel actually really good about the gross profit increase this quarter. We were up 5% in the U.S. and that's a really positive number even of the case growth numbers that we shared. So yes, all those things are impacting that number, including the addition of, while our local was good, we also had an increase in the CMU business, so that national account business, and those all impact that gross margin number.
Joel T. Grade - Sysco Corp.: Yes, I would say, John, just on a real high level, there's probably a little more impact of inflation than the other, just kind of a high level.
John Heinbockel - Guggenheim Securities LLC: All right. And then lastly, right, if you think about getting to $650 million for the year, right, your target pre-Brakes, U.S. EBIT probably has to step up from where it is, 300 basis points or 400 basis points in terms of growth. What's the biggest thing that changes? And is it more on the SG&A line? Or I imagine it's more on that line than gross or is that not right?
Thomas L. Bené - Sysco Corp.: Yeah. It's on the SG&A line clearly. I mean, you saw the numbers. Again, we feel really good about where we're at from the top line and a gross profit perspective and we had some cost challenges that we're dealing with, but yeah.
John Heinbockel - Guggenheim Securities LLC: Okay. Thank you.
Operator: Your next question comes from the line of Andrew Wolf with Loop Capital Markets. Your line is open.
Andrew Wolf - Loop Capital Markets LLC: Thank you. I just wanted to start with the inbound freight. Is that a structural thing that you kind of – or let me put it this way. Is that something you can fix structurally by increasing contracting or hauling it yourself? Or is that just something that's sort of you're stuck with and it's going to have sort of pass through as the market allows?
Thomas L. Bené - Sysco Corp.: Look, I think we're doing everything we can to try to mitigate the impact. I think the part that's less controllable is as the overall shortage of drivers is there, the carriers are choosing what products they're going to haul and who's going to pay them the best rates to haul those products. From a service standpoint for us and, I think, you all know in this industry we've got to have our products available for our customers and they've got to be there when they need them. So, we've got to make sure we've got them in our facilities. So the big impact to us has been having to pay higher rates to get the products here, so we can make sure we're servicing our customers. And we're always trying to balance that. But getting the products in the facilities to be on hand for our customers is job one for us. So a longwinded way of saying, I think you should expect that we're doing everything we can but we're going to continue to see some challenges here as we try to impact that. It's not like we're going to pick up a lot more loads ourselves because we're not going to necessarily add the fleet to do that or move our outbound organization to handle inbound. So it really is something we've got to manage through our carrier partners.
Andrew Wolf - Loop Capital Markets LLC: Okay. Thank you. And just related to that as a follow-up, do you have any sense that – is that at all related to some of the things we've seen on the retail side of food – Walmart and Kroger have sort of – were getting shorted or they weren't happy with their logistics and tried to penalizing some of the vendors. Is this at all related to that or maybe some of the resources in the trucking world are going to make sure that's handled, or do you have any feel for that?
Thomas L. Bené - Sysco Corp.: It'd be hard for us to comment on whether that's driving it. I think we know what's started a lot of this was the storm activity. And we know then carriers were either being diverted to carry and handle other products that those areas of the country needed. There's been some rail issues, as I think have been well-documented that also put some additional pressure on the trucking industry. So there're probably a lots of things, but I don't know if we can comment or know anything specific to the points you made.
Andrew Wolf - Loop Capital Markets LLC: Okay. Thank you. And sort of a housekeeping and then I'll cede. For Joel, on the $200 million to $300 million range from tax reform that seems like you expect, it seems like a fairly wide range. Is that because you and your tax folks are still kind of figuring it out? Or is it more some of the discretionary things you can do with CapEx and other things?
Joel T. Grade - Sysco Corp.: Yeah, I would say I mean probably a little bit of both. But I think – obviously, this thing is somewhat complicated and there's certainly a lot of things we're looking to do to optimize this, which would certainly impact the dollars. But I mean suffice it to say, certainly with the significance of our profits in the U.S., it's certainly going to be positive opportunity for us.
Andrew Wolf - Loop Capital Markets LLC: Thank you.
Operator: Your next question comes from the line of Marisa Sullivan with Bank of America. Your line is open.
Marisa Sullivan - Bank of America Merrill Lynch: Thank you. Good morning and thanks for taking my question. Just wanted to touch back on the expense outlook for the second half. You called out a number of factors that impacted your second quarter customer startup costs, fuel costs, increased investments in international. How much of those do you expect to persist into the back half of the year? And which of those would actually alleviate and help you to get that better back half performance? Thank you.
Thomas L. Bené - Sysco Corp.: Thanks, Marisa. So I think certainly, the startup costs, we anticipate those, obviously, going away or being much less in the third quarter and beyond. The investment in the selling organization, obviously, we're going to have that with us for a while, but we look at that also is them providing growth on the top-line. So the investment there, we think, gets covered pretty quickly with some of the other top-line benefits. And then as it relates to a couple of the other things, the calendar move was a one-time thing in the European or the UK – sorry, the European business, that calendar year to fiscal year. So those are the primary things. We talked about fuel – that isn't really – the fuel rate, that will probably continue here for at least another quarter or so. But those are the primary ones, I'd say.
Joel T. Grade - Sysco Corp.: Yes. And I think some of the other investments we talked about in Europe also. I mean, those again, those continue to be ongoing. But I mean obviously, Marisa, there's certainly things that we're doing, we're working on that also ultimately – those aren't simply the only categories or things that we're dealing with, that we're focused on here. And so again, we said a couple of times, I mean, we certainly feel good about the remainder of this year and as we head into the second half of the year, I think certainly anticipate some of that cost pressure to mitigate some.
Marisa Sullivan - Bank of America Merrill Lynch: Got it. And then just quickly to follow-up on that. For the MA sales force expansion, do you expect that to continue in the second half? Or was that more just the onetime step-up in 2Q? And then was the sales force investment, was that mainly just in the number of MAs that you're hiring or you're also seeing any wage pressures in that part of your business?
Thomas L. Bené - Sysco Corp.: Great question. So think about it as we've added the resources now, so it's somewhat of a onetime or of an acceleration. And now that they're here, obviously, the costs will continue. But we don't look to continue to accelerate that beyond necessarily those numbers at least at any significant pace. And from a wage pressure standpoint, we really aren't seeing anything new or different for our business.
Marisa Sullivan - Bank of America Merrill Lynch: Got it. That's very helpful. Thank you so much.
Operator: Your next question comes from the line of Shane Higgins with Deutsche Bank. Your line is open.
Shane Higgins - Deutsche Bank Securities, Inc.: Yeah. Thanks, and good morning. Thanks for taking the questions. Just circling back on the previous question. What was your productivity for the U.S. marketing associates during the quarter? And has it kind of capped out here? And should we expect it to decline slightly as you guys step-up investments in the selling organization?
Thomas L. Bené - Sysco Corp.: Hey, Shane, so we don't necessarily talk about our share productivity metrics for our selling organization. But if your question is, are we feeling like they are continuing to be productive and grow in their productivity, the answer is yes. Obviously, the e-commerce work that we've been doing and the utilization continuing to grow is enabling that. In addition, the way we're resourcing and supporting them with this consultative model, we also feel like it's continuing to drive productivity. The opportunity we saw was in targeted areas where we were underdeveloped, and we felt like we had now enough inside knowledge around where we could target those resources to drive incremental growth, specifically with our local customers. So that's why you're seeing the investment we're making, but we feel really good about that organization and the progress we keep making and the leverage we're getting with them across the business.
Joel T. Grade - Sysco Corp.: And then Shane, the only other thing I would add is that I mean, as we one of the great, I would say, advances we've made as an organization is the ability to actually rollout new sales associates, once they get through their training with actually larger territories than we used to have with some of the tools, some of the things that we've talked about here. There, I would say, even the newer people are more productive faster in the world we're in today. And so I think that's also a benefit.
Shane Higgins - Deutsche Bank Securities, Inc.: Great, I appreciate the color. And then just a question on the lower corporate tax rates, I mean do you guys think that gives you an advantage versus some of the smaller private distributors out there? I'm not sure how their taxes are, or if they're similar to yours or if they're completely different. Thanks.
Joel T. Grade - Sysco Corp.: Sure. So again, this is probably a little bit of me giving an opinion or speculating here. But I would say in many cases, as we've gone down the acquisition trail, we certainly have some exposure to some of the smaller distributors that are in our industry. And I would just say this. In some, not all, but in some cases, certainly, part of their goals of family-owned business is to minimize their tax that they would pay. And so, I would say that in general, our ability – again, given the amount of profitability we have in the U.S. and sort of again, just the amount of tax that we pay relative to our overall profitability, I would say that we have a good opportunity over and above, in some cases, what they may have. Again, that's a very general statement, not necessarily certainly applies to all. But I would certainly say that there's probably some opportunity there for us versus some of the – particularly, the smaller family-owned competitors.
Shane Higgins - Deutsche Bank Securities, Inc.: All right, great. Thanks. That's it for me.
Operator: Your next question comes from the line of John Ivankoe with JPMorgan. Your line is open.
John William Ivankoe - JPMorgan Securities LLC: Hi. Thank you. First, just a question on international. I mean, we've talked about the fiscal or I guess, the calendar to fiscal calendar shifts a couple of times. I'm sorry if I missed this, Joel, but did you quantify in dollars or in basis points whatever you want to do, how that hurt the second quarter and therefore how it may help the third?
Joel T. Grade - Sysco Corp.: We didn't, John. We have called it out for a couple of quarters now that we're certainly looking at the fact that this quarter, we'd see a negative impact of that. That would then be somewhat picked up over the last couple of quarters but we did not quantify that.
John William Ivankoe - JPMorgan Securities LLC: Okay. But that amount was not adjusted out of operating income as one of the operating income adjustments for the international segment, is that correct?
Joel T. Grade - Sysco Corp.: That is correct. We did not provide any of that, no.
John William Ivankoe - JPMorgan Securities LLC: All right. Thank you just for clarifying that. And then certainly, it's interesting, and I think you touched on this a number of different places. But it is interesting that you're adding marketing associates at this point in the technological cycle. Obviously, you're putting some of the technology initiatives in the hands of the customers, allows them to order easier and allows your salespeople to focus more on selling and consulting as opposed to order-taking. Is there may be a point in your forecast, I don't know if it's 2019, 2020, 2021, whatever it is, where you expect the sales force to become much more efficient, in other words, utilizing technology themselves to the extent that they can, cover bigger territories, as you mentioned? Just want to get a sense when that you can inflect that to where we can actually start to leverage the salespeople as opposed just in incremental costs, which I think was the case in the second quarter?
Thomas L. Bené - Sysco Corp.: So John, let me try to take a shot at that. So again, this was what I said a couple of minutes ago around how we're thinking about this. We actually feel really good about the productivity we're getting out of our existing selling organization. You got to think about though is there's a difference between better managing the current customers and trying to acquire and drive our relative share in the marketplace through incremental business. And so I think you need to think about the two of those in conjunction. And the adding of the salespeople really on a more very targeted basis is all around trying to improve our position in certain markets where we believe we've got significant opportunities. And given our share position relatively in the industry, we've got plenty of room to grow and we've talked about that. And so, it's a combination of, yes, you should expect us to continue to get productive with our current selling organization with existing business. But as we look to take on new business, we do need resources in place. And those resources not only are the people but the training and the support that goes along with that. So there's – it is an investment, but one, we feel really good about and one we feel like will create a nice return for us.
Joel T. Grade - Sysco Corp.: Yeah. And just to reiterate, Tom said that extremely well, and I think the one thing just to reinforce, this is not – you should not take away from this that for whatever the reason there is an – productivity impacted a negative way of any of the stuff. We certainly look at this as an ability to continue to take share again in a targeted way. And so that to me is a separate and distinct from the fact that we also have some continued increases in productivity through some of the tools we've talked about. They're not mutually exclusive here in terms of adding MAs and driving productivity that they can (45:05).
John William Ivankoe - JPMorgan Securities LLC: Okay, understood. And certainly in the press release I mean I think selling expenses were called out. And so when you see that you just assume that we're just going through I guess an investment phase before we can start to get some of that full benefits and maybe that's where a lot of the questions are arising from.
Joel T. Grade - Sysco Corp.: I think that's fair.
John William Ivankoe - JPMorgan Securities LLC: Okay, all right. Thank you.
Operator: Your next question comes from the line of Chris Mandeville with Jefferies. Your line is open.
Christopher Mandeville - Jefferies LLC: Hey good morning. Joel, just excluding the calendar change to international and how that might affect Q3, should we be expecting the underlying business to have a better second half versus first half?
Joel T. Grade - Sysco Corp.: The underlying business in international or just in general?
Christopher Mandeville - Jefferies LLC: In general.
Joel T. Grade - Sysco Corp.: Yeah. So yes, the answer is yes. And certainly, part of in my script, I wanted to make sure I called that out. I mean we do anticipate an improvement in the second half of our year over the first half of our year. And so, I think in a number of different areas but I would certainly say the answer to that is yes, and again, we certainly tried to call that out in the script.
Christopher Mandeville - Jefferies LLC: Okay. And then just one on the modeling front for me, assuming you guys are still looking at CapEx of 1.3% to 1.4%, as a percentage of sales, that would assume or that would imply a pretty sound acceleration in the back half of this year?
Joel T. Grade - Sysco Corp.: Yeah. that hasn't changed. We typically experience actually a heavier amount of CapEx in the second half of our fiscal than we do in the first half. And again, our first half CapEx is very consistent with where we were in the last year. And so, we do anticipate some level of acceleration in the second half.
Christopher Mandeville - Jefferies LLC: Right. And then just a follow-up on that, when it comes to D&A is there any ability to help us guide with that line item since it's been moving around quite a bit?
Joel T. Grade - Sysco Corp.: Yeah. No, I mean, I don't – we haven't typically guided that. I don't think there's anything really unusual to go there. I mean, just as you had modeled just our normal CapEx I would think just keep a normal view of D&A I think is reasonable. There's nothing really exciting there.
Christopher Mandeville - Jefferies LLC: All right. Thanks, guys.
Operator: Your next question comes from the line of Edward Kelly with Wells Fargo. Your line is open.
Edward J. Kelly - Wells Fargo Securities LLC: Yeah. Hi, guys. Good morning. Hey, Joel, can I just clarify just from a guidance perspective? So, you're still talking about the upper end of the $600 million to $650 million, excluding Brakes. What should we be thinking about for Brakes at this point? I think at one point, you were expecting that business to be flat year-over-year. I don't know if that's still the case. I'm just trying, as we piece all this together, what should we be thinking about from Brakes in this year as we try to get ourselves to total EBIT?
Joel T. Grade - Sysco Corp.: Yes, sure. Thanks for the question. And so, what I'll tell you is we're going to give you a little – an update on that probably in our Q3 call. I would say, it's likely that will be slightly less than flat, although some of that is due to – and the reason I'm hedging in terms of the timing of this is that there were some actual tax reforms that happened in the UK and in France as well that we're still working through to be able to quantify the impact of that also factored into that number. And so again, I would anticipate that there'd be somewhat less than we guided. But again, I'd like to get a better number before I quantify that for you, we will plan to do so.
Edward J. Kelly - Wells Fargo Securities LLC: As we think about international as a whole, is it possible for international to be flat this year? What I asked that question because EBIT was down about $40 million in the first half. And I'm just wondering how big of a ramp we should be expecting in the back half of the year with this calendar change.
Joel T. Grade - Sysco Corp.: Yes, again, I don't want to be not responsive to your question, but we just haven't guided that number. I would just suffice it to say that again, that there will be some level of pickup in the second half of the year. But again, we haven't guided specifically of what that was like. And keeping in mind, as Tom talked about earlier, I mean, there's been somewhat of an acceleration and where we've seen opportunities that we anticipate long-term benefit from to accelerate some of the investments that we made both in the multi-temp and in some of the (49:40) as well.
Edward J. Kelly - Wells Fargo Securities LLC: Okay. Just to follow-up on the question on tax reform. As you go through the process and think about the possibility for reinvestment, can you maybe just talk about the process, what you're considering? I mean, you could probably make the argument that you've already made some reinvestment, given what we've seen on the startup side on the SG&A. But just thoughts around how much of reform, at the end of the day, you think you're going to end up keeping versus putting back into the business and how you think about that?
Joel T. Grade - Sysco Corp.: Yes. So I think the main takeaway I'd have from that, number one, one of the things I talked about in my prepared remarks is around making investments in our business that are in line with our capital allocation priorities. And the reason I said that specifically is that we've done a lot of different questions around, will you invest in pricing, will you do some of those things? And the answer to that is that, that's not part of what we're talking about here. When we talk about investing in our business, we're talking about opportunities. Again, part of our capital allocation priority is to continue to find ways to accelerate items, to invest in assets and technologies and people and in ways that ultimately drive long-term value for this organization. And so, I would look at it and think about it more that way, and again certainly not – we're not thinking about as just turning around and investing that ultimately in price. And so I think – and again, as you know, our capital allocation priorities, I think, are quite balanced between investing in our business, providing value to shareholders. And I think that again, our overall investment moving forward is going to be very consistent with that.
Edward J. Kelly - Wells Fargo Securities LLC: Okay. Thanks, guys.
Operator: Your next question comes from the line of Ajay Jain with Pivotal Research Group. Your line is open.
Ajay Jain - Pivotal Research Group LLC: Yeah. Hi. Good morning. I had a question on just the currency impact. I'm guessing the currency should have helped this quarter as opposed to being a tailwind. And I don't think that's been the case for a while. So now that you have clean comparisons for Brakes year-over-year, can you confirm what the currency impact was in Q2 on a consolidated basis, or even just for international specifically? So I'm just wondering if you have any color on the relative impact from currency on revenue expenses and the earnings impact overall.
Joel T. Grade - Sysco Corp.: Yeah, Ajay, it's Joel. I would – on a top-line basis, it was just a little bit over 1%. We also had – there was obviously impact on the gross profit, impact on the expense. For the most part, that washed out as you translate that down to our operating income line. But we did have some benefit on the top. Again, certainly, there was somewhat – again, a little bit relative strengthening in the sterling and the Canadian dollar relative to the U.S. is really what's driven that recently. But at the end of the day, again, the overall impact on the operating line is not a lot, but on top, we did get 1%.
Ajay Jain - Pivotal Research Group LLC: Okay. That's helpful. So really no flow through to earnings, you would say, from currency?
Joel T. Grade - Sysco Corp.: Yeah, I would say nominal amount, but nothing of what I'd consider real significance there.
Ajay Jain - Pivotal Research Group LLC: Okay. I had one follow-up on tax reform and my question is twofold. So maybe it's a little early to talk about the consumer-related impact, but do you have any preliminary sense on whether there's been any kind of impact, like any discernible impact on restaurant spending in general in terms of what you're seeing and what you're expecting going forward? And then I was also interested in how your customers are reinvesting the tax benefit. I don't know if you've got a lot of direct visibility into that, but I'm also curious if you expect to see any benefit being ploughed back into wage adjustments by your multiunit or Broadline customers.
Joel T. Grade - Sysco Corp.: Well, why don't I start and I'll let Tom add his thoughts on as well. I mean – a couple of comments there. I mean, I think broadly speaking, anything that ultimately is positive for the consumer or positive for the overall economy, we certainly would view as a positive for our industry and so I'd certainly start with that. Yes, I think the question of, have you seen impact or what do we anticipate from a restaurant perspective, I'm sure, I think, it's varied to some extent across restaurant types. Again, one of the things I've mentioned a little bit earlier in terms of the smaller distributors, a lot of our local restaurants tend to be family-owned businesses. And so again, this is really me just opining as much as anything else. But to some extent, more family-run businesses tend to try to look at ways to minimize tax. So I'm not necessarily sure on the local level that there's going to be still that – again, in all cases, it will be different, but so much impact from that perspective and their ability to plough some of that back into the business. On the multiunit side, probably some extent more so. But again, I would just go back to saying in general, where there's a positive macroeconomic opportunity there, I think that certainly provide something we see positive benefit for our industry. And I don't know if there's anything else do you want to add, Tom?
Thomas L. Bené - Sysco Corp.: Yes and you guys have probably seen some of the restaurant data, I mean, some of it was good for December. If you think about same-store sales versus – traffic continues to be a challenge in certain areas for sure, but same-store sales seemed to be growing and that's helpful. Also if you look at the relative improvement throughout the end of last year, it was stronger obviously than the first part of the year. So I think a lot of the indexes that are out there, a lot of the data that's being shared across the restaurant industry is somewhat positive during this quarter. And so we're hopeful that that continues, the consumer confidence that Joel is referring to and that we're all hearing about, reading about, you hope translates into increased – hopefully increased traffic but certainly increased sales in the restaurants.
Ajay Jain - Pivotal Research Group LLC: Okay. Thank you.
Operator: Your next question comes from the line of Bob Summers with Macquarie Securities. Your line is open.
Bob Summers - Macquarie Capital (USA), Inc.: Good morning, everyone. I guess I want to leverage that last question a little bit and maybe ask it in a different way, which is when you look at prior instances where you – the consumers had tax relief, can you go back and look at a discernible change in trend within restaurants and your business? I mean, I think it's widely speculated on the Street that with sort of restaurant spending being high at – top of the list that you'll be a beneficiary, but empirically I'm wondering if you have any data from the last 30 years or so.
Joel T. Grade - Sysco Corp.: Yeah.
Thomas L. Bené - Sysco Corp.: Bob, I don't think – I mean the data that's out there, we have not spent any time looking at that, it's probably something worthy of us and the industry looking at, but I can't honestly (56:51) say we've got that data in front of us. But we tend to believe a lot of the things that we're all seeing and reading. And I think that that will – we know in this business, consumer confidence, unemployment all those things are positive drivers for foodservice and for restaurants in particular. And so we're hoping that all those things do, in fact, continue to provide some nice tailwind for this industry.
Bob Summers - Macquarie Capital (USA), Inc.: Okay. And then separately on the incremental hiring of salespeople, which I think as I look at advantageously or as a positive, that seems a little different than maybe you've been talking about over the last pick a timeframe. One, am I interpreting that right? And then two, I guess if it is different, what's driving the change?
Thomas L. Bené - Sysco Corp.: It's a great question Bob. And I think you are interpreting it correctly that over the last probably year-and-a-half or so I would say we are more stabilized with our selling organization. We're very focused on building out this consultative model. And so where we were maybe adding some in the past it was more around the support resources versus the actual selling resources. We're now at a place both because we have the insight and data to tell us where we should be focusing. And we've I'd say optimized might be the right word that current selling organization we felt like it was the right time to be able to start to add. So we just feel like we're in a much better position from an insight and knowledge basis and know where we have the opportunities to go ahead and start making those additions.
Bob Summers - Macquarie Capital (USA), Inc.: Okay, great. Thank you.
Operator: There are no further questions at this time. This concludes today's conference call. And you may now disconnect. Have a great day.